Operator: Good day, and welcome to be SNC-Lavalin's third quarter 2017 earnings conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Denis Jasmin. Please go ahead, sir.
Denis Jasmin: Thank you. Good afternoon, everyone, and thank you for joining us today. With me today are Neil Bruce, President and CEO; and Sylvain Girard, Executive Vice President and CFO. Our earnings announcement was released this morning and we have posted a slide presentation on the Investors section of our website. If you are not using today's webcast, please ensure to open the presentation, as we will refer to it during this call. The recording of today's call and webcast will also be available on our website within 24 hours. Before we begin, I would like to ask everyone to limit themselves to two or three questions, to ensure that all analysts have an opportunity to participate. You're welcome to return to the queue for any follow-up questions. I would also like to draw your attention to Slide 3 of the presentation. Information in this presentation and remarks made by the speakers today will contain statements about expected future events and financial results that are forward looking, and therefore, subject to risk and uncertainties. These forward-looking statements represent our expectation as of today, and accordingly, are subject to change. Results may differ materially. We disclaim any obligation to update any forward-looking statements except as required by law. A description of the risk factors that may affect future results is contained in the company's MD&A available on our website and in our filings with the Canadian Securities Administrators. During today's call, we will also discuss certain non-IFRS financial numbers. You can find a reconciliation of these numbers with comparable IFRS measures in the presentation and in our MD&A. With that, I will turn the conference over to Neil Bruce. Neil?
Neil Bruce: Thank you, Denis, and good afternoon, everyone. On today's call, I'll briefly review our Q3 results and discuss the performance of our five sectors. Sylvain will then cover the Q3 financial aspects in a bit more detail. Let me start by saying, I'm pleased overall with our third quarter, and particularly with Atkins' first contribution to our results. This was a transformational acquisition and we can already see its impact on our revenues, EBIT margin backlog and balance sheet. I'm also very pleased with the progress of the integration and I will discuss this in more detail in a moment. Let's start on Slide 4. Our net income for Q3 2017 was $104 million, a significant increase compared with the $43 million in the same quarter of last year. Adjusted net income from E&C also increased significantly to $89 million or $0.51 per diluted share. Oil & Gas returned to a more normal run rate as we flagged in Q2. Infrastructure continues to perform very well, and Atkins generated over $800 million of revenues with a 9.1% EBIT margin. Total new project awards within our existing business in the quarter was strong at $1.5 billion. And this growth came in spite of the absence of any of the well-publicized major Canadian infrastructure projects yet to be awarded. Along with the contribution of $2 billion of backlog from Atkins, this left our total backlog at $11.3 billion. The Atkins acquisition and its financing have now been reflected in our balance sheet. We believe we have improved our balance sheet efficiency for maintaining adequate liquidity to continuing with our stated growth strategy. Our recourse debt to capital ratio is now 23:77 below our 30:70 objective. And Sylvain will cover our capital structure and debt ratios in more detail shortly. We're also maintaining our 2017 outlook, for an adjusted diluted EPS from E&C in the range of $2 to $2.20. We anticipate that most of our previously announced cost synergies relating to Atkins acquisition, some $30 million in 2017, out of the $120 million we identified at the time of the transaction will be delivered in Q4. Hence, the slightly different weighting of earnings between quarters in the second half of our financial year. Let's now look at each of our sectors starting at Slide 5. Our Oil & Gas sector returned to a more normal long-term EBIT margin with a trailing 12-month EBIT, back in 7%, in line with our expected margin range of 6% to 7%. We are also pleased with the business development activities in Oil & Gas fueled by the higher oil price. And we are particularly pleased with the recently announced master services agreement award by Chevron, for systems completions support on all of the major capital projects worldwide. We continue to be encouraged by many large projects and sustaining capital prospects ahead, particularly in the Middle East and the United States. In Q3, we reappointed Chris Brown as President for the sector, now that the Atkins integration process is nearing completion. Turning to Slide 6, we continue to see improving signs of growth in our Mining & Metallurgy sector. And we're very pleased with the backlog trend, which now stands at $700 million. Revenues increased in Q3 to $107 million, the highest quarter of the year; albeit, margins will remain at the current lower level, until some recently awarded projects are fully mobilized early in 2018. Examples of recent awards include the recently announced notice to proceed for a large ammonia EPC project in Oman, as well as a contract for the development of engineering design and licensing services for a fertilizer project in Russia. Looking ahead, we believe there is good momentum with a wide variety of attractive prospects particularly outside of North America. Moving to Slide 7, the Power sector overall continues to do well despite the fact the sector EBIT margin was impacted in the quarter by poor performance on a thermal power plant project in the U.S. We believe that a normal long-term EBIT margin for this sector should be between 7% and 9%. Looking ahead, we continue to grow our clean energy portfolio in renewable energy, hydro, T&D. We are targeting the market in selective geographies where we already have a presence. We expect these markets to continue to grow significantly. Within thermal power, we are continuing to be much more selective on projects within this market, focusing primarily on service-only contracts. The nuclear market continues to be an important priority for us, as our clients are forecasting significant investments in life extensions, sustaining capital and decommissioning. We also see the possibility of some new-build opportunities in the future, capitalizing on whole lifecycle capabilities. Now turning to Infrastructure sector on Slide 8, this sector has again performed very well this quarter. We are pleased with the stable execution performance and EBIT margin, as well as the recent contracts awards. Of note, are the contracts from Husky Energy for the White Rose project, and the design, engineering and financing for the expansion of a maintenance and storage facility for stage 2 of the Confederation Line in Ottawa. Our three major projects, Ottawa LRT Phase 1, Eglinton and the New Champlain Bridge are progressing well. We have recently implemented a variety of acceleration measures for the bridge. And discussions are progressing well with our supportive public partner to confirm and agree on the costs associated with these initiatives. We continue to target the delivery of the bridge in December 2018 as originally planned. Revenue backlog is strong despite the lack of major Canadian infrastructure project awards. The scale and complexity of which are unprecedented. The infrastructure sector is very active around the globe, but especially in Canada. With the addition of Atkins, we believe SNC is well positioned to win its fair share of these exciting multi-billion dollar opportunities and we're continuing to identify new prospects in our key geographies. This brings me to our newest sector on Slide 9. We are pleased with the Atkins' first results within SNC-Lavalin. Atkins delivered a good quarter with $805 million of revenue and an EBIT of 9.1%. Backlog stood at $2 billion at the end of September. We're also pleased with the contract award in August for the re-signaling of the Norwich-Yarmouth-Lowestoft route by Network Rail in the U.K. And we continue to be encouraged by Atkins' prospects among the U.K. and European markets. There is a high level of government investment in its key markets and high-quality long-term prospects. We believe there is an increasing demand for third party funding of transport infrastructure in an effort to reduce the whole lifecycle cost, as well as an increased appetite to adopt new technology solutions to innovate and increase value. We're also encouraged by Atkins' prospects in the U.S. We have secured a number of opportunities in our public and private and transportation businesses. Additional work is being driven by demand in the federal business, as we support the Federal Emergency Management Agency, FEMA, in its recovery and humanitarian activities following the recent hurricanes. And lastly, in the Middle East, the property sector continues to show good levels of activity and we're currently bidding on a variety of attractive prospects in the rail and transit sector across the region. I will now give you a brief update on the integration process we have been undertaking with Atkins. In short, we are pleased with where we are, and we are very much on track with our timetable, costs and expected synergies. We have just completed our 100-day integration planning period and will soon be in a position to implement the recommendations to combine SNC-Lavalin and Atkins' service delivery capabilities, where it allows us to better support our client's requirements. Our goal to have the integration fully complete by the end of the year is in our sights. We remain on track to deliver run rate cost synergies of $120 million by the end of next year, including $30 million, which as I mentioned earlier, we expect to deliver in Q4 2017. The combined SNC-Lavalin and Atkins senior management teams have completed many operational workshops, integrating key account management across the two businesses, leveraging Faithful+Gould's technical capabilities and our enhanced geographic presence are all expected to contribute to our development in the short and medium term. We continue to identify many additional opportunities in our key markets that will further support our growth agenda, especially in the area of digital technologies. Earlier this week, we announced the acquisition of DTS, a leader in digital asset management and geographic information systems within the North American market, and specifically in the U.S. DTS strengthens and complements Atkins' design and consultancy services creating an end-to-end enterprise digital asset management service offering for infrastructure clients. In addition, DTS' Geospatial Information Systems and software programming capabilities enhances the full suite of Atkins' digital service offerings and will enable us to offer full asset lifecycle information management. We believe this acquisition will bring added value to our organization by allowing us to accelerate the nature and pace of delivery, and help our clients respond to the increasing challenges of digitization and digital asset management across all of SNC-Lavalin's core sectors. And lastly, let's turn to Slide 10. I'm very pleased with the completion of BBGI's investment in four of our assets, through the SNC-Lavalin Infrastructure Partners LP vehicle. That transaction demonstrated SNC-Lavalin's full lifecycle expertise and ability to create significant value by monetizing mature assets and recycling the proceeds into new projects. One more asset is expected to be transferred to this vehicle by the end of the current year. As for Highway 407, this asset continues to deliver good results with a revenue increase of 8.5% in Q3 compared with last year. So, to sum up, we're pleased overall with the Q3 results, with Atkins delivering a very robust quarter, the first time as part of the SNC-Lavalin family. Our backlog and our high-quality pipeline across our key sectors and geographies continues to give us confidence in executing on our near-term earnings guidance and our longer range 2020 vision. We are maintaining our 2017 guidance, as I said earlier, and expect Q4 to be the main beneficiary of the first wave of cost synergies relating to our transformational deal. With that, I'll pass the call over to Sylvain to go over some of the financial results in more detail.
Sylvain Girard: Thank you, Neil. Good afternoon, everyone. I'll start on Slide 11. Total revenues for Q3 2017 totaled $2.6 billion compared to $2.2 billion for Q3 2016. The variance was mainly due to higher E&C revenues, largely attributable to the incremental revenues from Atkins and higher revenues from Mining & Metallurgy; partially offset by revenue decreases in Infrastructure, Oil & Gas and Power segments. The decrease in Oil & Gas was mainly due to lower revenues in the LNG sector, partly offset by higher revenues from projects in the Middle East and Americas. The decrease in Power was mainly due to lower revenues in the Thermal and Transmission & Distribution sub-segments, partially offset by an increase in nuclear. And the decrease in Infrastructure is principally attributable to the disposal in December 2016 of SNC-Lavalin's non-core E&C business in France and real estate facilities management business in Canada. Total SG&A expenses in Q3 2017 amounted to $399 million compared to $141 million in Q3 2016. The increase was mainly due to the incremental SG&A from the acquisition of Atkins and up to a $33 million favorable impact from revised estimates on legacy sites, environmental liabilities and other assets retirement obligations recorded in Q3 2016. If we exclude these two elements, SG&A expenses were actually about 12% lower mainly due to the ongoing success of the operational excellence program. Total adjusted EBITDA amounted to $250 million with a margin of 9.5% compared to $93 million and a margin of 4.3% in Q3 2016. The increase was mainly due to the contributions from E&C, which amounted to $196 million in Q3 2017 with a margin of 7.6%, significantly higher than Q3 2016. This increase mainly reflects the positive EBIT from the Oil & Gas segment compared to a loss in Q3 2016, an incremental EBIT from Atkins and a higher EBIT from infrastructure, partially offset by a decrease in EBIT from Power and Mining & Metallurgy. IFRS consolidated net income was $104 million or $0.59 per diluted share compared with $43 million or $0.29 per diluted share for the corresponding period in 2016. Q3 2017 IFRS net income included a net gain after tax of $26 million from the partial disposal associated with the transfer of four of our capital investments to SNC-Lavalin Infrastructure Partners LP. The quarter also included acquisition-related and integration costs of $30 million after taxes, in line with our guidance, as well as amortization of intangible assets related to business combinations of $28 million after tax. Adjusted consolidated net income stood at $137 million or $0.78 per diluted share, compared to $67 million or $0.45 per diluted share. The increase is mainly due to the adjusted net income from E&C, which amounted to $89 million or $0.51 per diluted share in Q3 2017 versus $24 million or $0.16 per diluted share in Q3 2016, mainly due to a higher segment EBIT, partially offset by an increase in income taxes and financial expenses. The effective tax rate increase in the quarter was mainly due to non-deductible expenses and other permanent items such as costs related to the Atkins acquisition, partially offset by the impact of geographic mix, while the increase in financial expenses was largely attributable to the Atkins acquisition financing. Our net recourse debt to adjusted EBITDA ratio at September 30, 2017 was 1.1. And our revenue backlog totaled $11.3 billion at the end of September. The revenue backlog balance included $2 billion from Atkins, which from a size and profitability perspective, more than compensated for the $950 million backlog of non-core real estate facilities management business in Canada and local operations in France, which was included in our balance from September 2016, but divested in December 2016. I will shortly get into the backlog, capital structure and debt ratios in more details. Now, turning to Slide 12. We see that the Q3 2017 Oil & Gas and Infrastructure EBIT performances were higher than in Q3 2016, while Power and Mining & Metallurgy were lower. Mining & Metallurgy's $11 million variation was mainly due to a decrease in the gross margin ratio including a negative reforecast on a project in South America, partially offset by higher volume and lower SG&A. The $9 million variation in Oil & Gas was mainly attributable to an increase in the gross margin ratio, including a net positive amount of $45 million, principally due to a commercial settlement on a major project nearing completion, partially offset by lower revenues and by negative net impact of cost and revenue reforecast on certain contracts, mainly in the Middle East. Q3 2016 also had substantial unfavorable cost reforecast. Looking at our Power sector, we had a $14 million decrease in EBIT, which was mainly due to a lower level of activity and a decrease in the gross margin ratio, which was negatively impacted by a $44 million cost reforecast on a gas fired combined-cycle power plant in the United States, partially offset by a net positive impact of $26 million due to a decrease in forecasted cost on certain projects and a favorable outcome from the close out of the gas fired combined-cycle power plant. These decreases were also partially offset by lower SG&A. The infrastructure sector had another strong quarter and recorded a 10.7% EBIT margin in the quarter. And lastly, Atkins had a good quarter in line with our expectations with $73 million of EBIT. Moving on to Slide 13, our diversified revenue backlog at quarter-end totaled $11.3 billion compared to $10.7 billion at December 31, 2016. As mentioned earlier, Atkins' backlog had been added to the company's backlog and we also see that the Mining & Metallurgy backlog has significantly increased. The breakdown by contract type is now 25% in reimbursable contracts, and 55% in fixed-price contracts. Atkins' revenue backlog is currently presented separately as it is calculated differently than SNC-Lavalin's and comprises a significant number of low dollar value and short-term projects, mainly in consulting and design with limited procurement and construction risks. Note that the company is currently assessing the impact of IFRS 15 on its backlog reporting policy and we'll update the market in due course. Turning to Slide 14, our operations essentially used $343 million in cash in Q3 2017. This usage was mainly from higher than anticipated working capital requirements on certain major projects, non-recurring payments for liabilities related to employee benefits that were triggered by the acquisition of Atkins, non-recurring acquisition cost payments and an increase in interest paid. This usage was partially offset by a higher EBIT from E&C and a decrease in taxes paid. The right-hand side of the slide identifies the main components of the decrease in cash for 2017. Other than the cash flows from operations, we see that the cash movements were caused by the acquisition of Atkins and its financing. CapEx spent mostly on projects and our quarterly dividends, partially offset by $173 million proceeds from the disposal of our head-office building and a $9 million proceed from the transfer of the initial 4-seed [ph] assets into the infrastructure partnership fund. Moving to Slide 15, as of September 30, 2017, the company continues to maintain adequate liquidity to pursue its growth strategy with $642 million of cash and cash equivalents, $884 million of net recourse debt and $2 billion in unused capacity under our $2.75 billion committed revolving credit facility. If we incorporate a 12-month pro forma for Atkins' adjusted EBITDA, the net recourse debt to adjusted EBITDA ratio was 1.1. Recourse debt over total capital is now per 23:77, below the company's objective which is not to surpass a ratio of 30:70. Now moving on to the last Slide. We are maintaining our 2017 outlook range for an adjusted diluted EPS from E&C in the range of $2 to $2.20. We are also maintaining our adjusted diluted consolidated EPS disclosed during our September Investor Day in the range of $3.10 and $3.30, which represents an increase between 20% and 28% compared to $2.58 achieved in 2016. This concludes my presentation. We can now open the lines for questions. Thank you.
Operator: Thank you. [Operator Instructions] We'll take the first question from the line of Anthony Zicha with Scotia Bank. Please go ahead.
Anthony Zicha: Yes, good afternoon. Neil, with reference to the reforecast in Mining & Metallurgy and Power, is there a risk that these losses related to the projects could become larger? And could you give us some color on the gas fired project in the United States? And could they potentially reverse?
Sylvain Girard: Starting with the thermal project in the U.S., I mean we feel like we are pretty much boxed off here. And as we have been pretty clear and signaling for all the way through this year, I mean it's an area - in terms of lump-sum contracts within thermal, we've basically not approved any new projects throughout the year. So, this is our final operational project that we need to close off. And then, our big emphasis is we are looking to push our business into a services-only business. So therefore, we won't be giving any lump-sum contracts there. So, I think this is the last one, it is very well progressed. And we think we've taken a prudent view, so that's probably the summary of that. In Mining, Mining saw slightly different, I mean, it's coming off the bottom of - I think a lowest trough and bottom that the mining industry is leading and certainly companies. We're no different to our main competitors. And I think we're really not going to get a stable average margin in mining until we really kick into a couple of the bigger projects, where we got a bit of volume going in there. The revenues are still not huge. Therefore, the margin on any given quarter could go up and down a fair bit. And it's sort of fairly meaningless in terms of dollar value itself. So, I think what we're indicating is that come Q1 next year. And then for the rest of the year, we would expect mining to be on a more stable EBIT margin.
Anthony Zicha: Okay. And could you please provide us your insights around the SNC's bidding pipeline and what do you see as short-term potential catalyst here?
Sylvain Girard: Well, I mean, we've got a huge pipeline. And I think we've emphasized a fair bit on Canadian infrastructure. And one of the biggest opportunities, that we're all very excited about is clearly the REM project in Montreal. I mean, it's a huge, huge contract. And we certainly have submitted bids on both of the contracts in terms of the EPC and on the trains and the UNM-piece [ph] and its short bid-list. So, we are very excited about that. I mean, it's a massive, massive contract with massive potential. And that's probably the biggest opportunity this year. But there's also some other contracts that have slipped a bit to the right, but are still moving like Finch, for instance, is still on the books. The mining sector have got forming, some fairly large contracts again, which came to be in the sort of fertilizer or processing type facilities. Oil & Gas is I think the award that we got with Chevron and in terms of worldwide agreement on all of their capital asset as the oil price begins to come up is really pretty exciting. And they are pursuing a wide range of opportunities. And then nuclear, it just got some massive opportunities. I think people probably saw in the papers or on the news around the two CANDU nuclear new builds in Argentina appear to continue to go forward and we are already working on the front-end of that. There are numerous, and I think it's 14 DND opportunities in the U.S. that are all funded, which are real prospects for next year. And Atkins brings us that DND capabilities. So, there's huge prospects there as well. And then the nuclear work that we're doing in Ontario as well continues to go on and that's long-term in the next eight years in terms of life extension work. So, we've got a huge, huge pipeline of activities. And we hope very soon before the end of year and into the first quarter to hear on a couple of the really big projects there.
Anthony Zicha: Great and then one quick one, once Atkins is fully integrated and optimized, is it still your goal to potentially double SNC size over the next few years?
Sylvain Girard: Well, I think if you are referring to the Vision 2020 and $5 EPS, I may answer yes.
Anthony Zicha: Okay, well, thank you very much.
Sylvain Girard: Thank you.
Operator: We'll now take the next question from the line of Mona Nazir with Laurentian Bank. Please go ahead.
Mona Nazir: Good afternoon and thank you for taking my questions. Firstly, I know that there's been some fluctuations in the EBIT margins, which you touched on. The biggest variance year-over-year has come from the Oil & Gas division. And we saw a $45 million commercial settlement positively impact the EBIT this quarter. And I know that there were some negative impact of provisions last quarter. Just wondering what would be a good run rate to use, not factoring in these kind of volatile one-time items?
Sylvain Girard: I think, previously, we talked about an expectation that we give [indiscernible] 6% to 7%. If you take it on an annual basis, and I think that's all still valid. We would really like to be able to consistently deliver quarter-by-quarter on a very stable basis, but the business isn't like that. But we are pretty confident about our ability to forecast through in terms of longer than just a quarter by quarter. And back to your specific question, we still maintain that we see 6%, 7% as the long-term stable margin.
Mona Nazir: Thank you. And then, just secondly, I'm wondering if you could touch on the cash cycle. We saw significant increase in cash used in operating activities driven by net working capital items. How do we expect this to trend going forward? Is it possible to expect a positive contribution from working capital next quarter or next year, on a net basis, and that's assuming quarterly ebbs and flows?
Neil Bruce: Yes, maybe, I'll take that one, so maybe first on the quarter a little bit. This quarter had a few, I guess, non-recurring items it. And I mentioned the acquisition related cash-out that happens. So just to give some perspectives to everyone, we had about $150 million worth of that operating cash that was linked to that. So that explains a little bit the usage now. In terms of our cycle, the large projects will tend to have a more difficult profile to forecast for everybody, because we tend to - we'll have milestones that will trigger payments. And then hopefully, we get into cash flow positive when we start the projects. But sometimes as projects, we might end up in change order situations or claims situation, which will delay the cash cycle that we anticipated. So that will create some volatility in that. As we look at Q4, we are expecting Q4 to be stronger than Q3. So, we are expecting Q4 to be a recovery there and an improvement in our working capital position. So maybe just to give an example on what I touched earlier on the acquisition related stuff, we had some share-based payment, for example, that came with the acquisition. So, all these costs, that cost was accrued, for example, prior to our ownership of Atkins. And it did not hit our P&L, but it was a cash-out that followed shortly after the acquisition. So that's, one example. Then - yeah. Does that answer your question?
Mona Nazir: Yes, it does. Thank you. I'll step back in queue.
Operator: We'll now take our next question from the line of Benoit Poirier with Desjardins Capital Markets. Please go ahead.
Benoit Poirier: Yes, thank you very much. I was wondering if you could provide some color about Atkins, when we look at the sustainability of the margins. I mean they reported 9.1 on an adjusted basis, so I was just wondering if there was any particular element in Atkins and is there room to improve that. Thank you.
Sylvain Girard: Yeah, we see that as a - we see that as sustainable long-term margin that we are targeting. As Q4 synergies kick in, we would expect to see that go up a little bit. So, from a metric perspective of looking at Atkins, at the time prior to the acquisition, I mean, it's roughly sort of an 8% business. Then our metric really is by the time some of the synergies kick in there, we expect it to be 9% plus. And we were really encouraged and really pleased to see that that's actually what was delivered in the first quarter of operations within SNC-Lavalin.
Benoit Poirier: Okay, perfect. And Neil, I know, we are still under consultation, but could you provide an update on the timeline on the DPA, any expectation on your side?
Neil Bruce: I think all of that is progressing well, in terms of consultation was launched, both for that and the integrity framework. And that runs through to November 17, so just a couple weeks to go. We completed our submission. I mean, we need to bear in mind that this is the potential of a deferred prosecution agreement legislation for Canadian companies, not specifically for SNC-Lavalin. And we've submitted our comprehensive submission, which anybody can go on actually to our website, and if you're interested you can go on there and you can click on that and see our submission and that's our view on it. And why we think it's good for Canadian business. We've been encouraged by the amount of feedback generally within both the business community, some financial legal aspects, sectors and academia as well, who truly fully support the need for Canadian business and Canadian headquartered companies to be on a level playing field with our U.S. competitors and European competitors. As well as the fact that we believe it's a far better framework in terms of making sure that it gives companies the ability to self-disclose and do all the right things. So, we got encouraged with that.
Benoit Poirier: Okay. Thank you very much.
Operator: We'll now take the next question from the line of Jacob Bout with CIBC. Please go ahead.
Jacob Jonathan Bout: Good afternoon. I wanted to ask about the margin improvement on the infrastructure side. Talk - maybe talk a little bit about what's driving that and the sustainability, is this just a mix issue or…?
Sylvain Girard: I think it's a - it's a combination of two things. The guys are performing really well. I mean, they are delivering like clockwork on the main big projects that they've got. They also have a lot of more consulting contracts that the engineering group within infrastructure also do, the O&M group are also performing really well. There's a couple of completions and nearing completion. And so, therefore, I wouldn't take this quarter's margin and think that that's going to be sustainable. We see the infra margin more in the - again, in the 6% to 7% range. And I think it goes back a little bit to what we said before, which is as we kick in 2018, our internal target and hurdle rate for our sectors really is a minimum of 7%. So, the infrastructure guys are getting there, and I think from an infrastructure sector perspective, if they can achieve that hurdle, then they are performing well.
Jacob Jonathan Bout: I think my next question is just on the CCCI bid for Aecon, is this creating issues for SNC and can you talk a bit about the relationship between Atkins and CCCI?
Sylvain Girard: Okay. So, from - I mean, first thing to see is that Aecon and SNC-Lavalin have had a long and very productive working relationship that will continue, and we see the - in terms of the acquisition and completion of the acquisition, that's really got nothing to do with us at this point in time, and that's all subject to competitions and investment and security considerations. The government will make decisions around - or government bodies will make decisions around all of that. So, we continue to be a big supporter and hopefully a great partner for Aecon, as we go through there. If there is any other direction that this goes in through in the first quarter next year for whatever reason, then we will be in absolute dialog with John and his team to make sure that we continue to support each other going forward, whether it's approved, or it's not approved, or there's any variation of that. So, from our perspective, it's their business until if they do see that approved or not. On the relationship with Atkins, we've got again a very productive JV, which was more in that providing consultancy services in the preconstruction build arena in Asia, that's been a relationship that's been there for a number of years, and again we just see that as an opportunity for us to further build on our partnership, especially in Asia. So again, we see that's a good thing.
Jacob Jonathan Bout: Thank you.
Operator: We'll now take the next question from the line of Derek Spronck with RBC Capital Markets. Please go ahead.
Derek Spronck: Thank you. Good afternoon. Just with Atkins in the UK, are you seeing more and more kind of P3 type of projects in the UK, and does your combination with Atkins better position you to bid on those type of contracts?
Sylvain Girard: Well, I think the - well, I mean, I think the P3 or PPP type contracts in the UK was more of a forefront, they certainly were utilizing that model the foremost of our countries or regions. They've been turned away a bit from that and certainly I would see, it quite a way behind where Canada is today in terms of the utilization of that - these different models. So, I don't necessarily see P3 expanding or expanding beyond where it is. And in terms of the work that we - that Atkins do for government-funded or locally funded infrastructure transportation, the areas that we are operating in is very much in the frontend rather than big complete project lifecycle, and we'll probably stay in that arena.
Derek Spronck: Okay. And with the integration of Atkins, your - seems like your cost synergies are on track. Just with regards to culture and the employee base as you integrate the two companies, how is that going and has there been any sort of high level leaves at Atkins following the acquisition?
Sylvain Girard: First of all, I mean, apart from the synergies that we implemented straightaway, i.e., no need for a board, no need for the IR group, no need for some of the consulting aspects and support, no, there has been nobody that we are - that were part of our plans to keep that's left since the acquisition was completed in July, which is fantastic, and that's exactly where we want it to be.
Derek Spronck: Okay. That makes sense. And just one more quickly from me. If we were to exclude Atkins and some of the divestitures that you made, the core E&C revenue on a year-over-year basis would be down roughly 10%, is that where you expected to be and is that what we should be thinking about - as on the core legacy E&C business over the next few quarters on a year-over-year basis?
Neil Bruce: Well, what you should expect is, what we've been I think fairly clear about for quite a while now, which is revenues - winning work, delivering work, revenues is really important, but it's not a main priority. We want to - earnings bottom line, efficiency, margin delivery is our priority and we've been going through a fairly robust margin improvements, bottom line efficiency program for the last couple of years, and as you can see, we divested - back in the last year, we divested part of O&M in France, because basically it was never going to meet our hurdle criterias, and it really didn't add anything to any other part of the business. You've heard on this call and within these results that for the whole year, now we've been downsizing our Thermal, our EPC group within Thermal. So, we'll continue to do that. And we are - by the end of this year, once we fully integrated Atkins, then we will be in a place where we think, we've got the business that within the individual sectors can deliver half the potential to deliver our internal 7% hurdle rates plus looking to increase the Atkins margin as well. So, the focus is very much on - I mean, revenues are important, but we don't want to chase revenues that don't add significantly to our earnings in our bottom line.
Derek Spronck: Okay. Thank you very much, Neil.
Neil Bruce: Thank you.
Operator: We'll now take the next question from the line of Yuri Lynk with Canaccord. Please go ahead.
Yuri Lynk: Good afternoon, guys. Maybe one for Sylvain. Just on the synergies, I just want to clarify that it's safe to assume Q3 had, I assume, very little, if any in the way of cost synergies and when you say the fourth quarter will have $30 million, is that an actual $30 million, which seems kind of big to me or is that an annualized rate of $30 million, so $7 million, $8 million in Q4?
Sylvain Girard: Actually it's $30 million between Q3 and Q4, and we did have some - we did already have some synergies in Q3. But there is more in Q4 than in Q3. But this $30 million a real cost out, it's not run rate by the end of Q4, it's - $30 million a real cost out.
Yuri Lynk: Okay. And then $30 million a quarter gets you to your $120 million, that's the math on that?
Sylvain Girard: Not quite. I mean, by the end of the 2018, we want to be at a run rate of $120 million out. So, I guess, when we get the $30 million we got - this year, we got the first $30 million, and that carries on obviously into the next year, there is some carryover of that. And then there will be more savings that will come - that will be coming through the year, leaving us with a run rate of $120 million at the end of 2018.
Yuri Lynk: Okay. Maybe we can take it offline, because $120 million is $30 million a quarter, that's my - where I'm confused, but...
Sylvain Girard: Okay. Well, you can take it offline. But I think - but you can count on for this year, is minus $30 million, real dollars.
Yuri Lynk: Got it. Okay.
Sylvain Girard: So - and then the some of that carries into next year.
Yuri Lynk: Got it. Yeah. Maybe just help us, also given the way the synergies are coming in, and I don't know if Atkins had much a different seasonality than SNC, but how should full-year adjusted E&C earnings be distributed, maybe if you just want to give us first half versus second half, is one going to be stronger than the other? Any help you can give us on just modeling half year or quarters would be even better, going forward?
Sylvain Girard: Well, I think - year, so their strongest quarter is actually what is our Q1. That's typically how their number is rollup, because historically it was their last quarter, because we had a year-end at March 31, right. And also, being in the UK and doing a lot of government business that kind of coincides with the fiscal year-end for a lot of entities over there. So that's what we expect to see. So, in terms of modeling, that's what you should count on, and then, you could probably figure out from their reported statements, as they were a public company a little bit, how that phases. They were reporting semi-annually, but you can probably figure out a quarterly profile, that would make sense from there.
Yuri Lynk: Okay. Last question from me, just back to the working capital, I mean, when I see a large outflow like that in the context of some - a company that has a lot of fixed-price projects, I get a little bit nervous, to be honest. How much of that cash outflow was due to a whip, perhaps, where you're not able to bill the client, because you're in disputes or something like that. Just any further color on the composition of that cash outflow, and when you say it's going to be better in the fourth quarter, I mean, will we see a positive contribution, or will we still have an investment in working capital?
Sylvain Girard: So, in Q4, we're looking for an improving working capital balance, so - meaning cash generated out of working capital that's what we're hoping for, so that's on that. And then, in terms of the dynamic, so as I mentioned, there is quite a fair amount of these nonrecurring items and charges, so that accounts for, like I said, $150 million of the $343 million. Then on the rest, it's - sometimes its swips [ph] sometimes it's AR, it depends on how we - well, it depends on the project really. I think what - it's always about timing. So, what I can tell you as an example, I mean, we've talked about a number of commercial settlements. And just in October, for example, one of those settlements, the cash shortly follows that. So, we did receive a large amount of money. Typically, the cash piece for those settlements will be higher than the margin impact of them, just because their work has been done and the billing is just higher than the margin obviously. So that's as an example, that's kind of what happened to us in the quarter, where we got the cash unfortunately in October. But it's just because the settlement came through really at the end. So, it's really hard to - with the quarterly profile and everything - it's hard to get everything in the box at the right time. So, for sure, when we look at the Middle East region, when we look at our overall oil and gas business, we had a switch from IOCs to NOCs, which has kind of change our cash cycle. NOCs are longer in payments and that's where you get into the WIP discussion of trying to read the bill before you can invoice and so forth. So that's clearly been causing us a drag and we see some of the impacts this year and in Q3 particularly. So that's what I'd say to that.
Yuri Lynk: Okay. Very helpful. I'll turn it over there. Thanks, guys.
Operator: We'll now take the next question from the line of Michael Tupholme with TD Securities. Please go ahead.
Michael Tupholme: Thanks. Good afternoon. So then, you talked in some detail about some of the puts and takes in the various segments in terms of favorable reforecast, unfavorable reforecast and the commercial settlement in oil and gas. When I look through all of that information, though, it seems to me that on an overall net basis, there was maybe an overall benefit in the quarter, including the commercial settlement. And I'm just wondering if you can confirm if that was the case and ideally quantify it.
Sylvain Girard: In terms of if you take them all together, and is it positive? I mean, oil and gas is positive, power had a net negative, you can do the math there; the $44 million minus of $26 million. And infra had some positive movements as well. So yes, yes, you'd be correct. In total, it's positive. The mining item is small in size compared to any of the others, to be honest. I mean, we disclose it more, because it went along the profile of the mining business at this stage. It was noticeable for them, but it's very small in size compared to the other stuff you see in the other segments.
Michael Tupholme: Okay. I guess the mining, what I want to understand that make sounds, it's not being overly large. The - within oil and gas there is the commercial settlement on the positive side, and then there's talk about a partial offset can you - how significant was that offset?
Neil Bruce: Well, the commercial side of that is much bigger than the offset, let's put it that way.
Michael Tupholme: Okay, so…
Neil Bruce: Yeah.
Michael Tupholme: Okay. Fair enough. Just back on…
Neil Bruce: So just to be clear in oil and gas, it's a net positive, if that's what you're looking for. It's clearly a net positive.
Michael Tupholme: Right. So, it's not quite as large as $45 million on a net basis, but it's meaningful.
Neil Bruce: Yeah.
Michael Tupholme: Okay. That's helpful. Thank you. Just back on, I guess, one of Yuri's questions about the seasonality within Atkins, if we look at the third quarter revenues of $805 million, I hear your comments about Q1 being the strongest. So, as we look to Q4, though, is that a reasonable run rate for Q4 or is there sort of an expectation that due to holidays, that would taper off?
Neil Bruce: I'm sorry, can you repeat? I missed a few words of your question.
Michael Tupholme: Sorry, I'm just asking about the seasonality in Q4 for Atkins from a revenue perspective. If what we saw in the third quarter, if that's a reasonable run rate to expect for the fourth quarter or is there any seasonality there we need to consider?
Neil Bruce: That's - I'd say that's fairly reasonable.
Michael Tupholme: Okay. And then lastly, just in terms of the adjusted E&C effective tax rate, I think you touched on the fact that it was a little bit of higher in the third quarter, but how do we think about that for the fourth quarter? What's a good expectation for adjusted E&C effective tax rate in Q4?
Neil Bruce: Yeah. Well, we said previously, because at the first-half point, right, we were running at a very low tax rate, and we'd been saying we'd been running slightly under 20% for the year, and we still think that's in the area, so around the 20% mark for the year.
Michael Tupholme: For the full year?
Neil Bruce: Yeah, yeah. So Q3 is unusual.
Michael Tupholme: Okay. That's helpful. Thank you.
Operator: We'll now take our next question from the line of Devin Dodge with BMO Capital Markets. Please go ahead.
Devin Dodge: Thanks. Good afternoon. So, in the Oil & Gas segment, the book-to-bill has been below 1 so far, this year. Obviously, the Chevron order will help here. But shouldn't be expecting revenues to kind of pull back a little bit in the coming quarters or do you see things in your pipeline that could bring booking levels or backlog levels back up?
Sylvain Girard: Yeah, I think part of the - sort of part of the dynamic clearly is that we continue to work off some of the major projects. I mean, the Chevron contract has huge potential. But basically, there won't be a huge amount going to the backlog by the nature of the contract in terms of its - it's a future call off contract, so there isn't a specific number within the contract, therefore we're not going to put a specific number in the backlog for that. And we've got a number of contracts like that. I mean, we'd like to see us win some more contracts with long-term existing clients that basically take the oil and gas backlog back up above $3 billion, is the aim. So not everything - I mean, again, probably the key message here is, we get some really good contracts on long-term call-offs that actually never end up or take a long time for it's to end up in the backlog per se, because of the nature of the contract.
Devin Dodge: Okay. Fair enough. And Neil, you mentioned earlier about some of your reports of the new CANDU reactor opportunity in Argentina, just can you talk about what role SNC would play there [visual sport] [ph], and what kind of impact we would see from like a revenue perspective for SNC?
Neil Bruce: Yeah, I mean it's pretty difficult again the - to give the revenue number. But I mean, it's two new reactors and we would play a role around the reactors themselves, the technology that CANDU piece, so inside the reactor facility. We'd be owners, engineer, designer with all the certification aspects of that contract, so they are significant. But we've always been very cautious about the fact that a nuclear new build is talked about a lot and not a lot comes to fruition. But both of these look like - looks like the contrary in terms of Argentina. It really wants them. They've got CANDU reactors already and the Chinese appear to be in a position, where they want to provide funding and help to the development of it. So, we are pretty bullish about - in a nuclear perspective, we're pretty bullish about that.
Devin Dodge: Okay. And should we think about this - how should we think about this kind of from a - like a financial risk perspective, would this be like a fee-for-service kind of type work or it would be fixed price?
Neil Bruce: No, fee-for-service. Certainly, it won't be fixed price.
Devin Dodge: Okay. Thank you.
Neil Bruce: Thank you.
Operator: We'll now take the next question from the line of Frederic Bastien with Raymond James. Please go ahead.
Frederic Bastien: Hi, good afternoon. I just have one question. I know that SNC in the past has been lukewarm to P3 opportunities in the U.S., given the highly litigious nature of the market. Is this changing in anyway given the growth of the market right now and also post Atkins, your acquisition is potentially a competitive advantage there?
Neil Bruce: Yeah, I mean, I think our reticence before, so maybe six months to a year-ago, it wasn't just about the contracting piece, it was also about the fact that we were in the process really of getting really clear and concentrating on our infrastructure centers. I mean, Ian and the team were focusing time on what is our core business, what is our top prospects. We felt as if the Canadian infrastructure market at that time had more than enough prospects to keep us busy and provide growth. But I think, Atkins does provide that additional impetus around the work that they're doing in order for us to continue and build then on the infrastructure and the P3 work.
Frederic Bastien: Perfect. Thanks for that.
Operator: We'll now take the next question from David Silver with Morningstar. Please go ahead.
David Silver: Yeah, hi, thank you. I apologies, if this was asked before, but of your $0.51 in adjusted EPS from your E&C operations, how much of that was attributable to Atkins and how accretive was Atkins this quarter?
Sylvain Girard: Well, you - I mean, it depends. I mean, you have to look at the - if you look at our segmented results, so you will see how much EBIT is contributed from Atkins, which is $73 million, so then you can kind of run that through the P&L. Now, you have to - obviously, with the Atkins acquisitions, there's a number of other factors that came into play. The financing cost has changed and so forth. But overall, when you take the full picture of the added contribution, the financing cost and all that, and you basically get to an accretive position, so we're pleased with that. But you can see the exact contribution and you can run it down to EPS if you want.
David Silver: Okay. I'll estimate that. Thank you. And then on Slide 10, I wanted to ask you a question about the $5 billion in value that you've assessed for your P3 portfolio. I guess, that's up a fair amount from nine months ago, let's say. Could you just qualitatively discuss where the increase in your assessment of the value is from, and then, can you also just remind me if the BBGI assets are in that $5 billion at a 100% or 20% or how are they being evaluated? Thank you.
Neil Bruce: Okay, so just on the first part of your question. The $5 billion is actually coming from the analyst review of our capital portfolio and the largest piece of that is the 407. So that's how it's derived and presented here. So, it's really coming from the analysts that follow our stock. On the BBGI, if you don't mind repeating question. I'm not sure, I followed that.
David Silver: Yeah. So, I was trying to maybe do an incremental - ask you to do an incremental analysis from maybe year-end 2016, and just trying to get your assessment of where the increase in the value was? And then separately since four projects and now a fifth project will be contributed to the partnership with BBGI? I was wondering, how that is reflected in the $5 billion total.
Neil Bruce: Well, it's tough to answer, because I don't come up with the $5 billion per se, it's the individual analyst come with it. But BBGI is essentially buying into the infrastructure partner fund and they're buying 80% of the share unit of that. So, the overall consideration at the time of announcement was about $200 million from BBGI, if I remember correctly. So far, we've put in four of the assets into it, which amounted to $90 million. So then, there is a remaining asset to cover the rest of it. So right now, the way this works is, at the end of Q3, you will have SNC owns 20% of the units of the LP, which includes these four-seas [ph] assets.
David Silver: Okay. I apologize that, that you have - I may be coming up with this wrong…
Sylvain Girard: No, no it's okay. But also - I think, if you go into Slide 19, you will find probably a better breakdown in terms of how the market views the capital portfolio there.
David Silver: Okay, will do. So, I think, I'm coming at this from an incorrect perception, so my fault. Last question…
Sylvain Girard: That's okay. No problem.
David Silver: Yeah, just on Slide 13, where you break down the fixed and reimbursable portions of your portfolio, I had kind of a philosophical question for Neil. But if you look at the whole company including Atkins, your fixed percentage of project work is at 55%. However, if we were to include Atkins, then you're closer to 70%. And I was wondering, how you philosophically view that. I remember when you started one of your priorities was to kind of reduce the overall risk profile by shifting a higher percentage of work from fixed-price contracts to reimbursable. And I'm just wondering if that has changed with the addition of Atkins. In other words, do you still want to lower that 55%? Or are you more comfortable from a portfolio perspective with the risk reducing effects to your overall portfolio of the addition of Atkins?
Neil Bruce: No, I mean, one of the priorities of the acquisition of Atkins was, from a business model perspective was to reduce our exposure - our risk exposure including bringing the fixed-price down. I mean, I think in terms of that particular slide, Slide 13, we've got a bit of apples and oranges in there, because we've only got one quarter of Atkins, which is predominantly very little risk in there, but as we've got three quarters. So, from - but I think by the time this all sort of widens out into the beginning of next year, I think you'll see that fixed-price profile coming down and that's where we wanted to be.
David Silver: Okay. Thank you very much.
Operator: We'll now take the next question from the line of Maxim Sytchev with National Bank Financial. Please go ahead.
Maxim Sytchev: Hi, good afternoon.
Neil Bruce: Hi, Maxim.
Maxim Sytchev: I just had a quick question in terms of maybe some context around Christian Brown resuming his role at - as the Head of Oil & Gas, any context there that you might provide for us? Thanks.
Neil Bruce: As you know, I mean Christian was part of the acquisition process, he led the integration. The integration is pretty much complete, and we're just taking one of our talented individuals and putting him back on - putting him back into the operations. So, it's nothing complicated, it's just we think, we've got the best player there for that sector.
Maxim Sytchev: Okay. Fair enough. And then, is it possible to get any incremental data points on Atkins in terms of if the revenue, Q-on-Q was up, is EBITDA up year-on-year, sort of anything that we can compare to kind of 2016 run rate?
Neil Bruce: I think it's overall, it's pretty consistent with 2016 except the fact that the margin is up a bit 1% and part of that is through the elimination of the - some of the corporate costs, that Sylvain talked about earlier and then we'll have a bit more kicking-in in Q4.
Maxim Sytchev: Okay. And what about organic growth and backlog, is the business - what's the business doing right now?
Neil Bruce: So, I think it's performing, I mean, it's difficult to see in terms of just one quarter, but it's pretty consistent with what it was before, which is - and they were very much concentrating on lower growth, but increased in margin and efficiency and the first quarter - in our first full quarter as part of SNC that trend is continuing.
Maxim Sytchev: Okay. That's helpful. And last question, just in terms of the transaction, you've done couple of days ago, DTS. How do you exactly envision leveraging the capabilities across other segments for the company, if you don't mind sharing your ideas so far?
Neil Bruce: Yeah, I mean it's very much around digital engineering and sort of the work that can be dropped into the model, proprietary software that they've developed in drop into our model in order to help with O&M capabilities and services to clients. That's just applicable to just about everything that we do within O&M. So, if we can find a way of monitoring and surveying a real line that we are maintaining like the Canada line for instance, do it photographically, then drop intermodal in order to do the analysis of it and that's far more efficient than I'm currently doing it, which is a bit more manual survey work. So, and that can just be applied to just about everything that we do within the O&M arena. So, first priority is to get them embedded into the Atkins organization in the United States, but then we see the opportunity to leverage that capability across everything else that we do within the O&M space.
Maxim Sytchev: Okay. But is it fair enough to say that it's more sort of a cost efficiency, sort of improvement or do you also envision some revenue generation from this particular asset?
Neil Bruce: There will be revenue generation, but it's about a differentiated offering. It's about staying one or two steps ahead of the competition and providing that differentiated service to all of our clients. That's the main thrust.
Maxim Sytchev: Okay. That's very helpful. Thanks all. That's it for me.
Neil Bruce: Okay. Thank you.
Operator: We'll now take our next question from the line of Chris Murray with AltaCorp Capital. Please go ahead.
Chris Murray: Thank you. Just very quickly - just turning to kind of the earnings profile for the Infrastructure group, for the Capital group, interestingly, I would have thought that the other income with the assets move to BBGI would have actually been down quarter-over-quarter, just wondering if you could maybe shed some light on how we should be thinking about the earnings profile kind of H407 over the coming quarters. And any impact you could see moving the next asset into the fund? And any thoughts as well, you talked a little bit at the Investor Day about perhaps investing in another private equity infrastructure fund, any thoughts around what we should think about and that's a 2018 event.
Neil Bruce: Maybe just on the first part of your question around the earnings profile, for sure when we put the assets into the fund, there is going to be a decline from the revenues we're getting out of those assets. Now this transfer happened in kind of later part of Q3. And then we'll have the last few assets probably towards the end of the year. That's kind of what we're aiming at, at this point. So, into next year, we should see a decline from the revenues that were coming from those assets. In terms of the second part of your question, in terms of new assets coming in, I think it will take a bit of a while after the fifth asset is coming in to have the next round. This is basically coming, as we said a number of times, as we're looking for our other assets to reach maturity. And those are either under construction at the moment or they are post-construction, but under warranty and we're still just making sure that everything stabilize before we can put them in the fund.
Chris Murray: Okay. And…
Sylvain Girard: And on the third piece, I think, you are referring to the Carlyle fund?
Chris Murray: Exactly.
Sylvain Girard: Yeah, I mean, that we continue to work as an advisor to Carlyle, and basically as that completes, and prospects come into it, then ultimately, we will co-invest, I mean, we will not be investing anything this year, but next year we will co-invest as the first E&C prospects in the work materializes.
Chris Murray: Okay. Thank you very much.
Sylvain Girard: Thank you.
Operator: There are no further questions at this time. I'll turn the call back over to Mr. Jasmin for any closing remarks or additional comments.
Denis Jasmin: Thank you very much for joining us this afternoon. If you have any further questions, please don't hesitate to call me directly. Thank you very much everyone. Bye-bye.
Operator: Ladies and gentlemen, this does conclude the conference call for today. Thanks for participating. You may now disconnect your lines.